Operator: Good morning and welcome to the World Acceptance Corporation Sponsored Second Quarter Press Release Conference Call. This conference is being recorded. At this time, all participants have been placed on listen-only mode. Before we begin, the corporation has requested that I make the following announcement. The comments made during this conference call may contain certain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 that represent the corporation’s expectations and beliefs concerning future events. Such forward-looking statements are about matters that are inherently subject to risks and uncertainties. Statements other than those of historical facts as well as those identified by the words anticipate, estimate, intend, plan, expect, believe, may, will and should or any variation of the foregoing and similar expressions are forward-looking statements. Additional information regarding forward-looking statements and any factors that could cause actual results or performance to differ from the expectations expressed or implied in such forward-looking statements are included in the paragraphs discussing forward-looking statements in today’s earnings press release and in the Risk Factors section of the corporation’s most recent Form 10-K of the fiscal year ended March 31, 2019. And subsequent reports filed with or furnished to the SEC from time to time. The corporation does not undertake any obligation to update any forward-looking statements it makes. At this time, it is my pleasure to turn the floor over to your host, Chad Prashad, President and Chief Executive Officer.
Chad Prashad: Good morning and welcome to our second quarter earnings call. I am joined by John Calmes, our Chief Financial and Strategy Officer. I hope you have all had time to review the press release. This quarter, we included additional information about our growth, specifically to highlight both the overall growth of the portfolio over the last 2 years as well as the tremendous increase in our portfolio of newer customers, while the risk within those buckets has remained relatively consistent during the growth period. We believe continuing to grow our new customer portfolio is a great investment for the company and are focused on the expected return over the long-term. At this time, we would like to open up the call to any questions you may have.
Operator: [Operator Instructions] And our first question will come from John Rowan of Janney.
John Rowan: Good morning, guys.
Chad Prashad: Good morning.
John Rowan: So obviously, losses are up because of new customers. What gives you comfort that the new customer loss rates are going to mean revert to what historically seasoned customer loss rates are, because it seems like we are all or nothing here, right? I mean if you don’t get this mean reversion back to prior loss levels, we are stuck at a much lower run-rate for earnings for the foreseeable future. So give me an idea of timing and how you view mean reversion in loss rates going forward?
Chad Prashad: Yes. So that’s a good question. The way that we look at our portfolio, we break it down to several different tranches based on customer tenure with the company. And we haven’t seen within those buckets large deviations from historical norms in terms of performance or charge-off rates. And so the question of when does the whole portfolio revert back to the mean, it’s really a question of when do we stop growing at this clip, right? And it’s something that we have mentioned in prior calls, to the extent that if we continue growing at the tremendous rate that we have, especially with opportunistic large acquisitions, we will continue to see growth in the more risky sections of our portfolio, that being the new customers. Over time, we are beginning to see that now, where acquisitions from a year ago and large growth from 12 to 18 months ago, it’s beginning to age into less risky sections of the portfolio. And some of those sections are actually outperforming what they have in the past, but by and large, they are all very consistent. So it’s really a question of when the portfolio begins to be re-weighted back to what it was 4 or 5 years ago. That being said, our focus is on long-term growth of the portfolio and then long-term growth of revenue as well, right. So for us, it’s always a smarter investment if we have the opportunity to grow quickly and flesh it out over time versus growing really slowly over time.
John Calmes: Right. I think just to add to that. So kind of said another way, John I think we could very quickly revert back to the mean just by stopping new customer growth, right. So that’s one way to do it, the other way to do it is to increase the growth in the longer tenured customers, right. So obviously, our preference is to focus on increasing the growth in that longer-tenured customer versus stopping new customer growth because obviously that has negative long-term impacts.
John Rowan: Okay. And do you guys have any thoughts on CECL, I am just trying to understand capital heading into next year. Obviously, there was a big decline in book value per share as you bought back quite a number of shares well above book value in the quarter. Is your lending group okay with that? Do we think that there is the possibility of another re-up for kind of a one-time slug like you had here for the $200 million in the quarter? Just give me an idea of where the tolerance levels lie as far as being able to dilute book value per share within and still have the liquidity coming from your lending group?
Chad Prashad: Yes, right. So at the end of the quarter, we ended around $395 million in net worth. And under the current facility, we can go down to $375 million. Obviously, we will continue to add to that $395 million going forward both from net income, but also that the share-based compensation also adds that net worth in addition to net income. So that will give us some runway in order to buy additional shares back. We haven’t had a discussion at this time with the banks about doing a large incremental buyback similar to the $200 million, but that’s always a possibility. We have the ability under the facility to do that.
John Rowan: But you would have to – you would conceivably have to renegotiate the net worth covenant though given where your shareholders’ equity stands today and the covenant threshold...
Chad Prashad: That’s right. Yes.
John Rowan: Okay. Because obviously if you diluted book value per share – book value more, similar to what you did this quarter, you would be in breach.
Chad Prashad: Correct. Yes.
John Rowan: And CECL, are you guys adopting CECL or are you going to defer it? What’s the outlook for next year?
John Calmes: No. So we will adopt on April 1. So we have been running our new model parallel to our existing models and there could be a material impact, but it seems to track fairly closely to our existing model.
John Rowan: What’s the lifetime loss assumption that you are using for the allowance under CECL?
John Calmes: I don’t have the details at this point.
John Rowan: Well, I mean I am just – I am looking at – I mean the charge-off rate here is 16%. I have never seen a lender that has a lifetime loss south of their net charge-off rate, especially in a growth model. I mean now – I mean just back of the envelope here, I mean it looks like you have a material increase in the allowance?
John Calmes: No, because – so the new model will be based on the expected loss rates of new borrowers, current borrowers and former borrowers, right and the historical performance of those classes of borrowers, right? Where today, our model is based on roll rates within – so a migration analysis, right, so how our customers migrate through delinquency? Because of the way our loans perform, they migrate through that migration houses pretty quickly. So there is not a huge difference, but the CECL model will do a better job of projecting what those expected losses are. So there will be less of a lag say, but today, there is not a huge lag, right. Because as we can see, when we have new borrowers that don’t perform, they migrate very quickly through our delinquency.
John Rowan: Well, I mean, what we are seeing with some companies is, CECL charges are going to take another bite out of book value. Are your debt covenants – do your debt covenants exclude the impacts from CECL? I mean we are not – there is not a lot of daylight in between your current net worth and the covenant threshold. And I am just without knowing what CECL is going to do to shareholders’ equity I want to know that there is at least exclusion.
Chad Prashad: Yes. So we are not worried about the impact of CECL threatening our minimum net worth.
John Rowan: But is it in the covenant that it’s excluded or is this just based on...
John Calmes: It’s not. No, it’s not excluded, but we are not – just knowing what the size of the impact is, we don’t expect it to be an issue.
John Rowan: Okay. And then obviously as we go into next year, I mean, there is a big increase in the allowance ratio this quarter and historically, we have seen that number bump around a little bit. And sometimes it used to be prior to all the accounting issues that you guys had with the prior management it used to be a flat number. It was nice and easy to model. Now, it’s been moving around as you have had a change in, I think the loss emergence period. Should we look at the allowance ratio here, like what’s with the dynamic of the customers that are coming on, are we looking at a flat allowance? Are we looking at a number that’s going to be seasonal, because at the higher number, it gets more volatile in the earnings stream when you make adjustments up and down? And then obviously, as we go into next year and lifetime loss, it should flatten out is what I would assume?
John Calmes: Right. So, it’s going to – to Chad’s point earlier right, it’s going to follow the proportion of new customers, right. So as long as we maintain a higher proportion of new customers as a percentage of the overall portfolio, we will expect delinquencies to be higher which will impact the current model, right. So that will lead to a higher allowance in the current model, but similarly, under CECL, when we will project loss rates based on the customer class. So if we have more new customers and we will expect a higher loss rate on those new customers that will also lead to a higher allowance percentage, right, if that portfolio mix changes then you could see that allowance percentage to go up or down in relation to that.
John Rowan: And just last question, can you give us – you did it last quarter, can you give us what the forward numbers are in the next two quarters for stock-based comp expense that you are projecting currently?
John Calmes: Right. Yes. So it’s the same as we gave the last quarter, that hasn’t changed specifically there.
John Rowan: Alright. Thank you very much.
John Calmes: Thank you.
Operator: [Operator Instructions] We will take our next question from Kyle Joseph of Jefferies.
Kyle Joseph: Hey, good morning guys. Thanks for answering my questions. I just want to touch base on growth. Obviously, it’s been very strong and I just wanted to get a sense of what’s driving that growth, obviously, some of it is acquisition-driven. But even on a same-store basis it looks like you are growing in the double-digits. Is that advertising? Is that price changes or just how your growth is really outpacing the market?
Chad Prashad: Yes. So it’s a combination of several different things. One, we have had a tremendous change in our marketing over the past couple of years. At the same time, we have had changes in our incentive plans across the company. We’ve had also changes in technology that allow folks or potential customers to apply online and change in processes here, centrally, they feel those applications and also get them to the folks they need to get to as quickly as possible. So basically, in a nutshell, we are casting a wider net to customers. We are trying to reel them in as fast as we can and sort them through in order to make the best decisions we can. On the pricing side, we haven’t seen any changes in the pricing across the board. And so it’s not that we are taking on riskier customers and/or lowering our pricing in order to attract more customers. I think one thing I see across the entire industry for installment lending in the last couple of years is just increased demand for installment loans, also increased customer awareness that installment loans exist. So we have also seen increased demand from that. And then with that being said, obviously, acquisitions have played a pretty large role in our growth over the past 2 years and those are the results of more opportunistic purchases that just come up and make sense long-term for the company.
Kyle Joseph: Got it. And then just to dumb it down, could you give us sort of a balance between organic growth and acquired growth?
Chad Prashad: Yes. So organic growth last quarter was up, I want to say it was – go ahead, Johnny.
John Calmes: Yes. So growth during the quarter, the acquisition growth was similar to the same quarter last year. Organic growth and balance was actually down this quarter. That’s largely being driven by the higher charge-offs, right. When you look at growth in actually new customers, NPVs and/or so current customers and former customers, they were up relative to last year.
Chad Prashad: Yes, organic customers in terms of number of customers in the quarter, is up I believe 4.5% to 5% year-over-year. But as Johnny mentioned, prior acquisitions kind of working their way through reduce the ledger in the quarter.
Kyle Joseph: Got it. And just on the acquired loans, can you give us a sense for sort of the multiple you are paying on those and the accounting as well as it looks like a lot of the increase in the delinquency was a result of acquisitions? And typically, if an installment lender acquires another, they will kind of do the good bank, bad bank sort of allocation and pay a discount for those that are delinquent. Just give us a sense for what’s going on there?
John Calmes: Sure. So as far as again, we don’t want to go in too much detail about how we price acquisitions. But I will say, we approach it from a unique customer cost perspective versus paying a multiple for the company because we don’t typically buy whole companies, we are buying the assets. And with some of the small acquisitions we do, we don’t always have very reliable financial information. So we take a customer approach. So yes, as you pointed out, the acquisitions, we certainly adjust what we are paying as well for delinquent customers, right. So they are not performing. To a certain extent, we won’t pay anything, right? But it will be discounted based on delinquency. So as you pointed out, the acquisitions we’ve had so far in the past year had a pretty significant impact on the allowance at September 30. If you just stripped out the delinquency from acquisitions, as of September 30 it would had an impact of $6.1 million, $6.2 million, right? So within the provision is a qualitative adjustment to the provision. So we increase the allowance $5 million on top of sort of our normal allowance. And that $5 million would have been necessary if it weren’t for the acquired accounts that were still within the portfolio at September 30.
Kyle Joseph: Got it. And then last question for me, I think you guys are going through what someone else in the industry referred to as growth math. And it sounds like demand is still very strong, but just sort of any sense when, ultimately, we should see some of the headwinds from this growth math start to wane in terms of the impact on the provision?
Chad Prashad: Yes. So it really depends on when we stop growing at the same clip, right. So organically, I think we continue to grow at similar rates that we have in the past 2 years. A lot of it comes down to the opportunistic opportunities out there from an acquisition perspective. So we are getting ready to enter the third quarter right now. Last year, we took down a fairly large acquisition in third quarter. So, we may begin to see lapping that this quarter unless another large acquisition comes up and we close it within the quarter.
Kyle Joseph: Got it. That’s very helpful. Thank you guys very much for answering my questions.
Chad Prashad: Yes.
Operator: And with no further questions, I will turn the call back over to Mr. Prashad for any closing remarks. We did just get a question, I am sorry and they went away.
Chad Prashad: We will give more minutes just in case they want to ask anything.
Operator: [Operator Instructions]
Chad Prashad: Alright. If there is no other questions I appreciate you guys joining us for the second quarter earnings call. And so this concludes the earnings call. Looking forward to speaking with you guys in January. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This concludes the World Acceptance Corporation quarterly teleconference. You may now disconnect.